Operator: Thank you for standing by, and welcome to CONMED's Fourth Quarter Fiscal Year 2024 Earnings Conference Call. [Operator Instructions] Before the conference call begins, let me remind you that during this call, management will be making comments and statements regarding its financial outlook, its plans and objectives. These statements represent the forward-looking statements that involve risks and uncertainties, as those terms are defined under the federal securities laws. Investors are cautioned that any such forward-looking statements are not guarantees of future events, performance or results. The company's actual results may differ materially from its current expectations. Please refer to the risks and other uncertainties disclosed under the forward-looking information in today's press release as well as the company's SEC filings for more details on the risks and uncertainties that may cause actual results to differ materially. The company disclaims any obligation to update any forward-looking statements that may be discussed during the call, except as may be required by applicable law. You will also hear management refer to non-GAAP or adjusted measurements during this discussion. While these figures are not a substitute for GAAP measurements, management uses these figures to aid in monitoring the company's ongoing financial performance from quarter-to-quarter and year-to-year on a regular basis and for benchmarking against other medical technology companies. Adjusted net income and adjusted earnings per share measure the income of the company, excluding credits or charges that are considered by the company to be special or outside its normal ongoing operations. These adjusting items are specified in the reconciliation supporting the company's earnings releases posted to the company's website. With these required announcements completed, I will turn the call over to Pat Beyer, President and Chief Executive Officer, for opening remarks. Mr. Beyer?
Pat Beyer: Thank you, Latif. Good afternoon, and thank you for joining us for CONMED's Fourth Quarter 2024 Earnings Call. With me on the call is Todd Garner, Executive Vice President and Chief Financial Officer. I'll provide a brief overview of the financial and operating performance for the fourth quarter and the full year. Todd will then provide a more detailed analysis of our financial performance and discuss our 2025 guidance as well as how we're thinking about the impacts of potential tariffs. We will then open the call to your questions. I'll start by quickly reviewing our fourth quarter results. Total sales for the quarter were $345.9 million, representing a year-over-year increase of 5.8% as reported and 6% in constant currency. This performance was generally in line with our expectations and financial guidance. From an earnings perspective, we delivered GAAP net income of $33.8 million in the fourth quarter. This compares to net income of $33.1 million in the prior year period. Excluding special items that affected comparability, our adjusted net income of $41.8 million increased 26.2% year-over-year, and our adjusted diluted net earnings per share of $1.34 increased 26.4% year-over-year. For the full year, sales were $1.307 billion, representing year-over-year growth of 5% as reported and 5.3% in constant currency. Sales for our Orthopedic business increased 2.4% in the fourth quarter and 2.5% for the full year on a constant currency basis. Our General Surgery business performed well, with constant currency growth of 8.7% in the fourth quarter and 7.5% for the full year. AirSeal had another year of strong double-digit growth, with record capital and disposable sales despite the change in market dynamics. While our overall sales growth in 2024 was below our potential of our portfolio, we were able to offset some of the top line headwind with improving profitability, driven by product mix and operating leverage, which Todd will discuss in more detail. Our 2024 GAAP net income totaled $130.4 million compared to $64.5 million in 2023. Excluding special items that affected comparability, our adjusted net income of $129.9 million increased 20% year-over-year, and our adjusted diluted net earnings per share of $4.17 increased 21% year-over-year. Turning to 2025, we are laser-focused on resolving the remaining supply challenges for our Orthopedic business and strengthening our operations, while maximizing the potential of our key growth drivers, including AirSeal, Buffalo Filter, BioBrace and our Foot & Ankle portfolio. We made progress on our supply challenges throughout 2024, but not as quickly as we had planned. Our sales force is now back on offense in Foot & Ankle, while there is still work ongoing in other areas of Orthopedic. To that end, we recently engaged a top-tier consulting firm that is helping us drive change more rapidly and turn our operations from an area of weakness into an area of strength. I noted that AirSeal delivered good growth in 2024 despite the evolving competitive environment for much of the year. We believe the continued strong demand reflects the importance of the clinical insufflation provided by AirSeal in robotic surgery and laparoscopy, which is particularly important for longer and more complex procedures. We are confident that AirSeal will remain a double-digit grower for a long time, supported by physician demand for better patient outcomes, including less pain and quicker recovery times, which means fewer hospital days, enabling the hospitals to treat more patients. We're going to continue to expand the impact of Buffalo Filter, which plays a key role in protecting caregivers from toxic smoke in the operating room. We are the leader in the smoke evacuation market, which is still in the early stages of growth, and we are excited about the outlook for BioBrace, our highly differentiated product for soft tissue repair in sports medicine. Over the last decade, led by Curt Hartman, we turned CONMED into a growth company, and I'm fortunate to take the helm at this point. The CONMED portfolio has been developed over a 55-year period, and we will be performing a deep dive into our portfolio and markets with the objective of sharpening our focus to improve the durability, growth and profitability of our portfolio into the next decade. I'm excited about our long-term future, and I'm excited about the improvements we are going to make in the coming months. The foundation is strong, and I'm thrilled to be leading CONMED on the next chapter of its growth story. With that, I'll turn the call over to Todd, who will provide a more detailed analysis of our financial performance and discuss our 2025 financial guidance. Todd?
Todd Garner: Thank you, Pat. All sales growth numbers I reference today will be given in constant currency. The reconciliation to GAAP numbers is included in our press release. As usual, we have included an investor deck on our website that summarizes the results of the quarter, the year and our financial guidance. As a reminder, Q4 2024 had 1 more day than Q4 2023. For the fourth quarter of 2024, our total sales increased 6.0%. For Q4, our sales in the U.S. increased 6.8% versus the prior year quarter, and our international sales grew 5.0%. Total worldwide Orthopedics sales grew 2.4% in the fourth quarter. In the U.S., Orthopedic sales grew 5.2%, and internationally, Orthopedic sales increased 0.6%. Total worldwide General Surgery sales increased 8.7% in the quarter. U.S. General Surgery sales grew 7.4%, while internationally, General Surgery sales increased 12.0%. For the full year of 2024, our total sales increased 5.3%. For the full year, our U.S. sales grew 6.9%, and international sales grew 3.4% versus the prior year. Total worldwide Orthopedic sales increased 2.5% for the full year 2024. This below-market performance is related to the supply challenges we have disclosed all year long. As Pat said, we have engaged a top-tier consulting firm to help us turn this weakness into a strength in 2025. In the U.S., Orthopedic sales grew 5.6% and internationally, Orthopedic sales increased 0.7%. Total worldwide General Surgery sales increased 7.5% for the full year 2024. U.S. General Surgery sales grew 7.4% in 2024, while internationally, General Surgery sales increased 7.6%. Now let's move to the expense side of the income statement. We will discuss expenses and profitability in the fourth quarter and the full year, excluding special items, which are detailed in our press release. Adjusted gross margin for the fourth quarter was 57.6%, which is a 120 basis point improvement over the prior year quarter. For the full year, adjusted gross margin was 56.3%, an increase of 110 basis points from 2023. Considering the challenges we had in operations in 2024, we are pleased with this gross margin improvement, and believe it reflects the long-term mix tailwind we have in our portfolio. Research and development expense for the fourth quarter was 3.8% of sales, 50 basis points lower than the prior year quarter. This reduction was simply due to the timing of projects, and Q4 being the highest sales quarter of the year. For the full year 2024, R&D expense was 4.2% of sales, no change from 2023. Fourth quarter adjusted SG&A expenses were 35.6% of sales. Leverage gained on the higher sales drove the 110 basis point improvement over the prior year quarter. For the full year, adjusted SG&A expenses were 37.1% of sales, 30 basis points lower than 2023. Q4, we delivered an adjusted operating margin of 18.6%, an increase of 280 basis points over the prior year quarter. Adjusted operating margin for the full year 2024 was 15.5%, an improvement of 150 basis points over 2023. We are intensely focused on turning our 2024 challenges into strength in 2025. Despite those challenges, the strong improvement we delivered in operating margin demonstrates the long-term opportunity for this portfolio to grow faster than our peers in revenue and profitability. On an adjusted basis, interest expense was $7.4 million in the fourth quarter and $31.6 million for the full year. The adjusted effective tax rate in Q4 was 26.7% due to year-end calculations of tax items. For the full year, our adjusted effective tax rate was 24.1%, in line with expectations. Fourth quarter GAAP net income was $33.8 million, a 2.1% increase over Q4 2023. GAAP earnings per diluted share were $1.08 this quarter compared to $1.05 a year ago. For the full year, GAAP net income was 134 -- I'm sorry, $132.4 million compared to GAAP net income of $64.5 million in 2023. GAAP earnings per diluted share were $4.25 in 2024 compared to GAAP earnings per diluted share of $2.04 in 2023. Excluding the impact of special items discussed earlier, in the fourth quarter, we reported adjusted net income of $41.8 million, an increase of 26.2% compared to the fourth quarter of 2023. Our Q4 adjusted diluted net earnings per share were $1.34, an increase of 26.4% compared to the prior year quarter. For the full year of 2024, we reported adjusted net income of $129.9 million, an increase of 20.0% compared to 2023. Our full year adjusted diluted net earnings per share were $4.17, an increase of 20.9% compared to the prior year. Turning to the balance sheet. Our cash balance at the end of the year was $24.5 million compared to $38.5 million as of September 30. Accounts receivable days as of December 31 were 62 days compared to 66 at the end of Q3. Inventory days at year-end were 211 compared to 224 at September 30. Long-term debt at the end of the year was $905.1 million versus $940.1 million as of September 30. Our leverage ratio on December 31 was 3.35x. Cash flow provided from operations in the quarter was $43.3 million compared to $56.4 million in the fourth quarter of 2023. Cash flow provided from operations for the full year 2024 was $167.0 million compared to $125.3 million in 2023. That means we turned 5.3% sales growth for the year into 20.9% growth in adjusted EPS and 33.2% growth in operating cash flow. This was accomplished in a year where we built considerable inventory to mitigate our supply issues. Our cash engine is strong, and we have long-term tailwinds to our working capital. Capital expenditures in the fourth quarter were $4.0 million compared to $4.9 million a year ago. For the full year, capital expenditures were $13.1 million compared to $19.0 million in 2023. Now let's turn to financial guidance. Given the uncertainty around President Trump's tariff negotiations, the guidance we are providing today excludes any potential impact. At the end of this discussion, I will provide what the math looks like for us on an annual basis, if the negotiations fail and the headline tariff numbers that Trump threatened actually take effect. So excluding that for now, let's start with revenue. While we saw some encouraging signs in Q4, we're not going to get ahead of ourselves with guidance today. In our investor deck, we provided a slide for the purpose of aligning investors models with where the portfolio is today, including current gross margins and expected midterm revenue growth ranges. To be clear, we are not changing the level of detail in our ongoing financial disclosures. Rather, we are offering this more detailed product level view into revenue and margin expectations for the purpose of resetting expectations. Going forward, we will continue to disclose total company results, along with the sales breakout between Orthopedics and General Surgery. Of course, as we always have, we will provide color commentary on certain products as they are relevant and material. That slide I referenced shows the 4% to 9% revenue growth potential of our portfolio over the midterm. We're going to start at the low end of that range for 2025, and expect to earn the credibility to move higher within that range as we deliver in future years. For the full year 2025, we expect constant currency revenue growth between 4% and 6%, with currency headwind between approximately 100 and 120 basis points. Together, that places our reported revenue guidance range between $1.344 billion and $1.372 billion. Of note, Q1 2025 has 1 less selling day than 2024, and Q3 has 1 more. Currency is also a little stronger headwind in Q1 than it is for the full year, so we expect reported sales in Q1 to be between $310 million and $316 million. That same slide that I referenced also calculates our gross margin mix tailwind based on those revenue growth rates to be between 50 and 80 basis points for 2025. We remain bullish on our long-term mix tailwind as the product families that are growing the fastest also have the higher gross margins. And we're confident this work we're doing on our supply chain and manufacturing will be accretive to gross margins in future years as we increase supply predictability and establish a culture of continuous improvement in cost savings. We're aware that our larger competitors have more sophistication in their processes, and that we are too dependent on single source supply. Closing those gaps may require additional investment before we can realize the savings. Therefore, in 2025, it is possible that this effort is a drag on margins before the savings are realized. We're in the early stages of the process, and it's too early to quantify the timing and magnitude of the savings we expect. With that context and the fact that currency is a headwind of about 50 basis points for the coming year in gross margins, we would not be surprised if gross margins as a percentage of sales in 2025 were at a similar level to 2024. Before I leave gross margins, I'd like to note that in our standard costing system, for the first time in our history for a calendar year, in 2024, our standard gross margin started with a 6 at 60.1%. Mix should continue to drive that number up. Our task is to reduce our manufacturing variances and other cost of sales, and we're focused on turning those functions from a weakness to a strength. We continue to expect SG&A as a percentage of sales to decrease over the long term. We expect to continue to invest and grow our resources to improve and solidify the top line growth. We believe this can be accomplished by growing sales expenses slower than revenue. However, currency is also working against us on this line in 2025, so we expect our 2025 SG&A as a percentage of sales to be similar to 2024. We expect full year R&D expense in 2025 to be between 4.0% and 4.5% of sales. We expect Q1 to land at the high end of that range to make up for some of the timing we saw in Q4 of 2024. Based on current forecast of interest rates from our banking partners, we expected adjusted interest expense to be between $27.5 million and $28 million in 2025. We expect the adjusted effective tax rate to be in the mid-24% range in 2025. As I mentioned before, we've delivered adjusted EPS growth recently much higher than revenue growth by multiples even. That's because of our margin tailwind and responsible management of expenses. As we focus on moving more on offense going forward, we believe an attractive and responsible model is to grow adjusted EPS at approximately twice the rate of sales growth on a constant currency basis. So longer term, that's what we would expect. As we look specifically at 2025, the currency headwind on adjusted EPS is estimated to be between $0.15 and $0.20. And given the potential temporary pause in gross margins I discussed earlier, we project reported adjusted EPS guidance for 2025 between $4.25 and $4.40. The currency impact on EPS appears to be relatively consistent by quarter throughout the year. With the initiatives we have underway, we expect full year operating cash flow in 2025 to be between $130 million and $140 million, with capital expenditures in the $20 million to $30 million range, putting free cash flow around $110 million for the year. We project adjusted EBITDA between $270 million and $280 million for 2025. Similar to last year, there are heavier cash requirements in the beginning of the year, so we expect our leverage ratio to stay relatively flat for the next 6 months and then drop below 3 by the end of 2025. So that concludes our 2025 financial guidance, which, as a reminder, excludes any impact from increased tariffs from the new Trump administration. We don't want to be in the business of predicting outcomes of international trade negotiations at this early date, so we're simply going to provide the numeric answer for Trump's initial declaration with no exclusions on an annual basis. For Mexico and Canada, an additional 25% tariff on the total product value crossing the border into the United States, using our current accounting and process would be a tariff increase of approximately $45 million in total. The Canadian piece of this is very small. To demonstrate the uncertainty here, even if the 25% tariff ultimately was put in place but only assigned to the value added in Mexico, the liability would decrease from $45 million to approximately $7.5 million. Today, everything produced in Mexico comes into the United States to be sterilized and shipped around the globe from our distribution center in Georgia. Because of our global revenue mix, theoretically, we could reduce that liability by approximately half by only bringing products into the U.S. that are for U.S. customers, but of course, that would take time to implement. We also have manufacturing capacity in the U.S. and have experienced moving product lines between plants. But of course, that also takes time. For China, Trump has announced an additional 10% to the existing tariffs with no exemptions. The existing tariffs that Trump implemented in its first term are at 25%. However, Section 301 of the Trade Act exempts certain medical devices, which includes our products from China. So we are currently paying very minimal tariffs on product from China. That exemption expires at the end of May 2025, and our partners in the process believe the way the current order is worded, the exemption will continue until expiration. So the worst-case scenario appears to be that a 10% tariff would be assessed on products from China beginning this month, which would equate to about $250,000 per month. If nothing changes, beginning in June, the tariff rate would become 35%, which would be approximately $875,000 per month for us or roughly $10.5 million on an annual basis starting in June. Mitigation efforts here would require finding substitute vendors, which could take significant time in a regulated environment and also potentially add costs. That's the maximum potential impact as we understand it today. Given the number and frequency of changes in policy lately, we will not provide updates with every twist and turn in D.C., but we will provide updates, as appropriate, on our quarterly calls or in other public formats as we gain further visibility and certainty. As Pat said, we are laser-focused on turning our weaknesses into strengths in 2025 by improving our processes and rebuilding our credibility. We remain confident in our ability to deliver innovation to our customers while driving above-market growth and profitability over the long term. With that, we'd like to open the call to your questions, and I'll turn it back to Latif.
Operator: [Operator Instructions] Our first question comes from the line of Matt O'Brien of Piper Sandler.
Unidentified Analyst: This is [Phil] on for Matt. I guess just I wanted to start higher level. In the investor deck, you state that the aggregate CONMED growth rate is, call it, 6.5% at the midpoint. You're guiding to a 5% constant currency this year at the midpoint. Where is that 150 basis points of delta coming from mainly?
Todd Garner: Thanks, Phil. Yes, mainly, there's frustrations that we had in 2024, right? We've talked about supply chain challenges that have lingered longer than we thought they would, that's why we've engaged a top-tier consulting firm to help us get out of this as quick as possible. That slowed us down. That's kept our sports medicine business from being on offense, and I would say that's probably the biggest headwind in the near term.
Unidentified Analyst: That's helpful. And I was just hoping to see some color on AirSeal, how that franchise grew in Q4. It appears well and expectations going forward. It looks like double digits in the deck, is that the expectation here in 2025 as well?
Pat Beyer: Yes, good question. Again, we commented, we had a record year in 2024 in AirSeal, both capital and disposables, we grew double digits in quarter 4. And our expectation for the foreseeable future, the AirSeal clinical insufflation platform is a double-digit grower for us.
Operator: Our next question comes from the line of Rick Wise of Stifel.
Rick Wise : Two questions for me. Maybe stepping back and just thinking about guidance. I appreciate what might encourage you or impel you to be thoughtfully conservative heading into this 2025 year. But maybe you can help us understand, again, at a high level, where is the conservatism that you're baking in? Is it market? Is it timing of new products? Is it fixing supply chain? Is it ramping -- reramping Foot & Ankle or -- just at a high level, help us understand what might go right actually at a high level?
Todd Garner: Thanks, Rick. Yes, so we just grew 5.3% constant currency in 2024, and 2024 had an extra day. Now when you put a day on a year, it's not very much, right? But still, we just did 5.3%. So we're guiding 4.6 -- 4% to 6% for 2025, and that's really where the portfolio is right now, right? So we feel like we have to earn our way up that curve, and we expect to. If we can get sports medicine back to where it should be, we saw good signs from Foot & Ankle in Q4, they grew double digits in Q4. The General Surgery business has been durable and solid. So if we can get the Orthopedics business back to where it's supposed to be, then I think we can earn the right to guide higher up into that range of where we think the portfolio should be. So to be clear, we are also disappointed that we're in this 4% to 6% range at the current time, and are anxious to prove our way to move up that in future years. The other part I would tell you, the frustrating part has been gross margins. As you know, we've got a terrific mix tailwind, which was demonstrated in 2024. Despite all those challenges that we've been living with, we still delivered really good margin improvement in 2024. That mix tailwind is still there, and it's still real. We're fighting 2 things in 2025. One is currency, which is meaningful. It's 50 basis points of headwind that we have to digest in 2025. And then the rest of it is this construction project we've got going on in operations. And we're excited about it. We are confident that it will get us on offense and get us to where we need to be to move up that range and to recognize the tailwind that we believe we have in our profitability engine. But we've got to get through this construction project in the near term. And it's a little early to be too bullish on what that's going to deliver. So we're working hard on that. Obviously, what we want to exceed the numbers we've given today, but we've got to prove that before we commit to it. So that's the exercise, and that's what led to the guidance today.
Rick Wise : Got you. Just as a follow-up, Pat, I was very impressed by the solid AirSeal performance. And your words, you said continued strong demand for AirSeal, and it's -- you indicated your belief that it's going to remain a double-digit grower. I think you [indiscernible] for a long time. Help us understand in more detail, the drivers. You've highlighted 3 legs of the story in simple terms, attachment to current [indiscernible], AirSeal attachment to excise, the huge base out there. But the part I'm most intrigued with is the AirSeal playing a more substantial role in laparoscopy. Is that -- what part or parts are sort of prompting your optimism about the -- what's going on in the nonrobotic leg? And maybe expand your comments on the nonrobotic commercial progress today. Sorry for the long question.
Pat Beyer : No, fair, Rick. Again, to remind everybody, CONMED purchased SurgiQuest, which is the AirSeal portfolio in 2016. And this portfolio and this platform has been significant to CONMED since then. And would reiterate, it reduces length of stay with patients and it reduces pain for patients on procedures, both laparoscopic and robotic. And I'm going to touch on the robotic. Robotic, just to remind everybody. Yes, DV5 is launching in the market. We're seeing a slower attachment rate, but Xi is still very prevalent in the market, and they continue to sell excise around the world. On the laparoscopy side, the international world has been successful in the laparoscopy space, in addition to the growing opportunity in robotics, but the international side has proven very successful on that. In the last year or so, the United States has seen an uptick in the laparoscopy opportunity as our sales force has continued to see those opportunities present themselves in front of them, in addition to the AirSeal robotic opportunity. And it's not a new market as much, Rick, as the sales reps are seeing that opportunity, surgeons are pulling them into those opportunities and patients are performing great with AirSeal in laparoscopic procedures.
Operator: Our next question comes from the line of Mike Matson of Needham.
Unidentified Analyst: This is [Joseph] on for Mike. I guess maybe first one for Pat. Obviously, short time in the CEO role, but I guess I was just wondering if maybe you could discuss maybe some new directives that you've implemented? The deep dive that you had mentioned in the prepared remarks, I'm just kind of wondering how you're thinking about that? Is that looking for holes in the portfolio? Is that maybe finding lower gross margin products that you would maybe want to see price or dispose of? Just kind of wondering what the path forward is, how are you seeing it? And then maybe if you could just give a quick update on the COO search?
Pat Beyer: Three things. First of all, nice to meet you, Joseph. We're not going to look for a COO right now. I'm going to continue to have the commercial operations report to me. My role as COO, quite honestly, was an opportunity for me to step into a new role, take an expanded view of the organization under Curt, and to prepare me for this position. As I sit in the CEO role, I've been asked what's my focus going to be? And I've been careful to say, step one, I'm going to ask a lot of questions. I'm not going to jump into making decisions early. And in that vein, I'm calling out 6 things we're focusing on right now. And it seems a lot, but it's really 6 focus areas. Number one, continuing to advance the clinical insufflation platform of AirSeal. That portfolio has to continue to win, number one. Number two, the construction project that Todd talks about. Getting our orthopedic business back on offense through operations. Number three, continuing to be mindful of our debt and continuing to drive that leverage down. Then we have 3 great portfolios we have to continue to win in: BioBrace, Buffalo Filter and our Foot & Ankle space. Now I said I want to be careful that I don't jump in and make decisions quickly. But to make decisions for the durability, the growth and the profitability of CONMED going into the next decade, we have to review the portfolio. It's 55 years old. And me and the leadership team and our commercial leaders are going to be looking at which spaces are CONMED in, what's our portfolio look like, doing some natural hygiene improving where it makes sense, but all with the goal of durability and the growth and profitability of CONMED going forward.
Unidentified Analyst: Okay. Great. Yes, that's very helpful. And then maybe I'll just do a quick one on BioBrace. If you could remind us maybe what is the clinical data profile look like right now? I guess just in terms of like other anatomies or I guess, extremities, is there any readouts or publications, any trials that are ongoing that we should expect to read out for in the future?
Pat Beyer: Joseph, 2 things. Again, BioBrace is being used clinically in almost 50 procedures, be that from the rotator cuff, to the ACL, into the Achilles. And so almost 50 different procedures. We have 14 peer-reviewed publications already in print, and we have 9 clinical studies undergoing right now as we speak. We have the large random prospective clinical study with 268 patients, that's on the go. We passed 100 patients in 2024, and we look to have readout data at the end of 2026 on that. And so there's active bodies of evidence growing in the world of BioBrace on strength and healing.
Operator: Our next question comes from the line of Robbie Marcus of JPMorgan.
Robert Marcus : Great. Two for me. Maybe first one, I know it's been asked in certain different ways here. But after a couple of years of back-end loaded guides impacted by supply, I guess, how do we put this year in perspective, given the first quarter guide and the level of confidence in the acceleration throughout the year?
Todd Garner: Yes, Robbie. I think that's a fair question. I think we were all very disappointed in 2024. We thought that we could get back on offense. We thought the sports medicine business will be back on offense by July 1. That got pushed back to later in the year, and we didn't make the progress at the end of the year that we wanted to. And so the guide -- if you go back to 2023, we spent most of 2023 beating and raising, actually. But in 2024, we didn't. And so what we've done here today is to not get ahead of ourselves. So we've guided, essentially, to -- on the revenue line to do what we did in 2024, which, again, was a disappointing year. So we're not getting ahead of ourselves. We're obviously going to work to do better than that, but we're not going to get ahead of ourselves on the guide. And then like I said to Rick, the challenge on the profitability is really in that gross margin line. I'd say half of it coming from currency, which is just reality. And the other half is this serious work we need to do to get our operations better so that we can get out of this. We were in this rut for longer than we wanted to be, and we're tired of it. We're not going to live with it, and we're changing it. And so we've got the best in the business to help us do that, and we're committed to do that. But until we deliver that and have something concrete that we can promise our shareholders, we're not going to get ahead of that either. So we've got to do the hard work and keep our heads down and get through this improvement project. In the meantime, we're going to go sideways, we think, this year, on gross margins, which is really disappointing. But we think it will set us up to get the tailwinds more visible going forward. And so that's the reality of where we are, and we're focused on -- our focus is to deliver that and turn this, what's been a really frustrating weakness and has had us behind our competition, and to turn that into a strength. And so that's the mantra here. That's what we're all focused on.
Robert Marcus : I appreciate that. Maybe one more. Todd. I know you've been talking for a while about EPS leverage. And this year, we're not getting a ton for all the reasons you just talked about. Do you think 2026 can be a return to faster bottom line growth?
Todd Garner: Yes. Obviously, we're not guiding to '26 today, but I did try and point out, we believe that a -- we ought to be able to grow the bottom line twice as fast. From a growth rate perspective, we think the bottom ought to grow 2x that -- what the top grows, right? Now in reality, the last couple of years, we've been doing more than 2x, right? But I think a sustainable, reliable expectation longer term, as you think about what should CONMED do over the coming years, is I would take whatever you have for a reasonable revenue growth rate and double that for an adjusted EPS growth rate. And I think that's fair. And look, there could be periods where we do much better than that, and there could be periods like this year where currency or other things might work against you to pull that down a little bit. But we think that's kind of where the portfolio should be and that we can stay on offense and protect the revenue line with that kind of model.
Operator: Our next question comes from the line of Vik Chopra of Wells Fargo.
Vikramjeet Chopra : First one, maybe just talk about your revenue guidance, maybe what gets you to the high end versus the low end of that 4% to 6% range? And then I had a follow-up question, please.
Todd Garner: Yes. Well, so like I said, we just did 5.3%. We do -- so we're not going to get ahead of ourselves, and we're going to kind of carry over into 2025 with that assumption. There's lots of ways we can do better than that, right? We were very disappointed by the performance in 2024. And so I'd say there should be more upside than downside to that, Vik, but that's how I'd answer your question.
Vikramjeet Chopra: Okay. That's helpful. And then maybe a follow-up for me is just how are you thinking about capital allocation and M&A in 2025? And maybe just talk about financial flexibility at this point.
Todd Garner: Yes, nothing's really changed. We stay active. Eyes open, ears open. I think we'd have a hard time letting a really compelling asset go to the competition. At the same time, we are excited about getting leverage down below 3, which we're projecting to do by the end of this year. And so in the absence of a really compelling asset that we think makes sense to add in the near term, we'll continue to pay down debt and get that leverage down below 3.
Operator: Our next question comes from the line of Young Li of Jefferies.
Young Li : All right. Great. I guess to start, maybe on Buffalo Filter. I saw there was a comment on the slide. Was just kind of curious if you can provide an update on, I guess, legislation in the pipeline for U.S. states and maybe comment on your expectations for around the world?
Pat Beyer: Yes, Young. Pat here. We continue to be excited about the smoke evacuation market. We believe we're the market leader. We believe the technology Buffalo Filter brings is meaningful to the clinicians and caregivers that protects there at the -- and currently in the United States, there's 18 states who have currently approved or enacted legislation, that includes 3 that have been enacted this year. That's West Virginia, Virginia and Minnesota that are going to happen in 2025. Globally, we continue to see geographies in certain places around the world, also in act legislation, as well as hospitals and caregivers continue to focus on protecting themselves. And so we continue to be bullish on the Buffalo Filter product line.
Young Li: All right. Great. Very helpful. I guess maybe one on tariffs. I appreciate all the color. Just -- was wondering what are your thoughts on using price to potentially offset some of that impact? And what is overall pricing for CONMED?
Pat Beyer: Yes. Maybe 2 thoughts here. I'll have Todd talk about the pricing that we're getting at CONMED. But with respect to passing price, with respect to the tariffs on to the hospitals. Again, probably remember a lot of our portfolio is contracted with hospitals around the world, so we'd have to open up contracts. And I think it's going to be a period of time before we really understand the impact of these tariffs on our portfolio, and is it an opportunity to pass on pricing. But quite honestly, I'd tell you, I think it's going to be pretty difficult to pass on tariff pricing onto the hospital systems around the world with respect to that. So that's my personal opinion on that.
Todd Garner: Yes. And I agree. And it would depend if everybody was in the same boat, right? If it was an industry-wide kind of increase, then maybe that happens. But it would be tough to, I think, to do a CONMED-specific one, if that's how it shook out. In general, price has been fairly neutral for us recently. Prior to 2022, I would say we lived in a kind of 100 basis point price headwind world. I'd say that's where we live for a long time. In 2022, when inflation was accelerated all over the globe in everything you bought, I think the hospital appetite opened up for the first time in my career where you could actually get some price increases through. We, along with the rest of the industry, have done some of that. Not close to, I think, offsetting the inflation that we all experienced. But I think we got some. And I think that window is probably closing. My opinion is that window is probably kind of closing now as inflation has come back to more reasonable levels. And so I wouldn't expect a lot of price benefit going forward. But thankfully, because of this time we're in, I'd say we're kind of at a price neutral, potentially slightly priced positive world currently.
Operator: Our next question comes from the line of Travis Steed of BofA Securities.
Travis Steed : I know you gave some color on Q1 revenue, but curious if you could help a little bit on Q1 EPS or margins or how to think about the cadence of the year from a margin or EPS standpoint?
Todd Garner: Yes. I think as I look at it, Travis, I think it probably kind of travels together, right? I think revenue and EPS should travel decently together. Of course, nothing is ever linear, but we didn't feel the need to specifically guide to that other than revenue. They're obviously -- we felt like the revenue expectations were a little ahead of what we expect, and so we gave that guidance today. But we think as you adjust your revenue expectations for Q1, the EPS expectation's ought to travel with that and be in a decent place. And like I said, the currency is pretty even throughout the year. It's a little heavier in Q1 on the revenue side. And we have 1 less day in Q1 than a year ago and 1 more day in Q3, so that plays into it. But other than that, as I look at the growth rates and expectations, I call the rest of the year -- and we didn't feel the need to call anything else out specifically today.
Travis Steed : Okay. That's helpful. And then just wanted to confirm on the China tariffs. Is that excluded from the guidance as well? I know Mexico and Canada were, but is China also excluded?
Todd Garner: Yes. China is excluded as well.
Operator: Thank you. I would now like to turn the conference back to Pat Beyer for closing remarks. Sir?
Pat Beyer: Latif, thank you. I want to reiterate what I said earlier. I'm excited about our long-term future. I'm excited about the improvements we're going to make in the coming months. CONMED's foundation is strong, and I'm thrilled to be leading CONMED with its leadership team on the next chapter of its growth story. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.